Operator: We have now Sean Reilly and Keith Istre in the conference. [Operator Instructions]. In the course of this discussion, Lamar may make forward-looking statements regarding the company including statements about its future financial performance, strategic goals and plans, including with respect to the level of potential acquisition activity and the amount and timing of any distribution to stockholders. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Forward-looking statements give Lamar's current expectations and projections relating to its financial condition, results of operations, strategic plans, objectives and future performance. As such, they're subject to material risks and uncertainties, including economic conditions and their effect on the markets in which Lamar operates and the broader demand for advertising, levels of expenditures on advertising in general and outdoor advertising in particular and risks and uncertainties relating to Lamar's significant indebtedness. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's most recent annual report on form 10-K as updated or supplemented by its quarterly reports on form 10-K. Lamar refers you to those documents. Lamar's fourth quarter 2014 earnings release which contains information required by regulation G regarding certain non-GAAP financial measures, was furnished to the SEC on a form 8-K this morning and is available on Lamar's website www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Reilly: Thank you, Tiffany. Good morning, everyone. Welcome to Lamar's Q4 year-end 2014 conference call. As we mentioned in the release, we're pleased with the top line trend both in Q4 and moving into Q1, 2015. It feels to us like we're finally moving out of the 2% top line world we've been living in since the great recession. Regarding our 2015 AFFO guidance, the top end implies around 3% revenue growth for 2015 and around 2% expense growth for 2015. Both of these appear doable today. Keith?
Keith Istre: Good morning, everybody. Just a couple of quick data points now that we've closed out 2014 and moving on into 2015. Obviously this is the last time you will see any mention of monthly revenue recognition in our press release or in our conversations on these calls. But just to wrap it up for you for 2014, our total daily revenue which was all segments, billboard, logo, transit, was $1.2871 billion and on a monthly basis it was $1.2897 billion. So that was a $2.6 million difference on roughly $1.3 billion in total revenue which equated to [0.2%][ph] variance. That's what we had told the market last year when we went to the daily revenue recognition that the difference would be minor and shouldn't be concerned about. On a pro forma basis, once again monthly revenue recognition, our pro forma revenue increased in 2014 by 2.6% over 2013 for the full year. On the expense side, our expenses were higher than normal in Q4 due to some out of the ordinary Q4 charges. Some of those had to do with legal fees, vegetation control. Our health claims jumped significantly in Q4. They're back to normal as of the beginning of 2015, but we did experience a significant jump in Q4. So our sales commissions, we had a really good fourth quarter. Sales commissions were up In Q4. So those were all contributing factors. But again, this is not indicative of our past expense run rate or expected expense run rate in 2015. We're expecting pro forma consolidated expense growth in 2015 of between 2% and 3% which is basically what we guided to last year at this same time for 2014. We think those are very doable numbers. As you saw in the press release, AFFO per share was $4.08. Our guidance for 2014 AFFO per share was between $4.03 and $4.13. So as we stated, we came in right in the middle which we had indicated that that's where we would come in at on our last conference call for Q3 for the year. As you saw in the press release in the AFFO account schedule, our maintenance CapEx in 2014 was $56.7 million. We had guided to approximately $55 million for 2014. So we basically came in on the numbers and for 2015, our expected maintenance CapEx will look like it did in 2014. Right now we're projecting approximately $55 million in maintenance CapEx for 2015 for the full year. Last, our free cash flow, there's a schedule in the press release that shows free cash flow before REIT dividends, but for 2014, free cash flow after REIT dividends of $238 million was $100 million. So we had sufficient amount of free cash flow to do fill in acquisitions, pay down debt, etcetera, etcetera. Sean?
Sean Reilly: Thanks, Keith. Let me hit a couple of the operational highlights and there is a lot of good when you lift up the hood. Let me talk about posters first. Posters are Lamar's and the industry's oldest product, been around since the turn of the last century. Historically, good strong growth in posters has been a harbinger of good things. I was really pleased to see poster pro forma growth of 4%. Again, that has historically been a harbinger of good things, that's our oldest product. Our newest product, of course is digital and digital likewise showed good growth in excess of 4% same board in the face of relatively significant additional capacity. Last year we added 184 new digital units to our platform. We ended the year with 2065 digital units and it's nice to see that solid same store, same board performance in the face of the additional capacity. For 2015, you can expect something in the same neighborhood in terms of additional digitals. We're budgeting 150 to 175 new digital units for 2015. On the national local sales front, as most of you who follow the industry and us are aware, national was a challenge as we closed out the year. In fact, Q4 national was down about 0.6% made up by local which ended up 6.2% across the whole platform. So a good, strong performance there. On a year-to-date basis for 2014, local was up 4.2% and national was down about a point. For the quarter interestingly, our mix reverted to 80% local and 20% national from the typical 78%, 77%, 22%, 23% mix that we're used to talking about. On the verticals, there was a remarkable degree of stability as there usually is in our top verticals with a couple of exceptions moving around in the bottom tenth of our verticals. Telecom, again as you're aware, those of you who follow us, was a struggle last year. In Q4 they were actually down 30%, fortunately replaced by real estate which was up 13% in the quarter, insurance which was up 22% in the quarter and services which were up 17% in the quarter. So what we lost on the national/telecom front, we more than made up for on -- with other verticals and on the local front. Again, we're feeling good about 2015; our first full and legal year as a REIT. Our goal for the year is to convince traditional REIT investors that as a real estate asset class, our business model and our real estate is as robust and resilient a business model as other real estate asset classes they ascribe much higher valuations to. That's going to be our charge for the year is to get that message across. We will start next week at a Morgan Stanley conference in San Francisco. Hope to see some of you out there. Tiffany, that's it for the prepared remarks. You can open it up for questions.
Operator: [Operator Instructions]. Our first question will come from Marci Ryvicker with Wells Fargo.
Marci Ryvicker: A couple of questions. First, you gave us the revenue and expenses to get to the AFFO and CapEx. I think the other two pieces if you could give it to us for the full year, what are you expecting for cash taxes and for interest? And then separately from that, is there any update on the M&A front? I know Fairway had put out an RFP. I don't know to the extent that you can talk about that. Thanks.
Sean Reilly: Yes, as I mentioned to get to the top end of the range of our guidance on AFFO, you've got to grow the top around 3% and hold expenses to around 2%. That's where it starts. CapEx around $55 million. Tax leakage around $12 million. Interest around $92 million and that will get you there. And then on the M&A front, we're continuing to bang out some of the little ones that in the aggregate can be helpful over the course of time. The Fairway transaction actually has concluded. That process concluded. A private equity firm called Golder Thoma Cressey teamed up with a very good operator in our industry called Adams Outdoor. And they prevailed on that one. Other opportunities will arise and we will see how the year shapes up.
Marci Ryvicker: Okay. I have one follow-up for Keith. How should we think about the GAAP tax rate going forward?
Keith Istre: GAAP tax at the -- well, I mean, we're not going to be a taxpayer.
Marci Ryvicker: Do you have any -- CBS Outdoor Outfront has an 8% effective tax rate. Do you have anything like that?
Unidentified Company Representative: The effective tax rate we're projecting based on REIT for next year will be somewhere less than 10%, 8% to 10%.
Operator: Thank you. Our next question will come from Ben Swinburne with Morgan Stanley.
Ben Swinburne: Sean, how much is telecom weighing on national and-- ?
Sean Reilly: The good news is we've taken the bullet and we've lapped it. So going forward, we feel like we can confidently project positive performance out of national this year. As you know, national can be a little more difficult to predict. It can be a little more fickle. But we're budgeting in the neighborhood of 2.5%, 3% up on national this year. And again, a little bit of the confidence is due to the fact that we've lapped the Verizon/AT&T cancellation.
Operator: Thank you. Our next question will come from Jason Bazinet with Citi.
Jason Bazinet: Two quick questions. The first, it looks like the pricing power that you guys have on the numbers you report is more muted than it's been in the past. I don't know if that's a function of yanking out your high priced inventory, if you will and converting it to digital and that's why pricing is lagging or something else is going on in the market. That's my first question. And then the second, is it fair to say that there is a -- in broad brush stroke terms, if I use the [EBD] [ph] EBITDA multiples a private/public market arbitrage, if you will? In other words, that the private market value of these assets is below what you trade at on the [EBD] [ph] EBITDA basis in the public market now that you've converted to a REIT? Thanks.
Sean Reilly: On the second question first, it's kind of hard to say. We just had a very recent transaction with Fairway. And multiples can be deceiving when a strategic is involved and synergies are brought to bear. My sense is that -- if anything, there is very little difference. It was a narrow range and at least as regards Fairway, it didn't appear to us that there was an [R][ph] between private and public with what Fairway ultimately went for. It depends on size and synergies and the like. On the other question on pricing, that's one of the reasons I highlighted the performance of our poster units. Again, this is a product that's been around for well over 100 years. And is showing growth that is outstripping US ad spend and a portion of that is certainly price. Digital as well, it's more difficult to get a rate and occupancy read because of the sheer volume of slots you have in a digital unit. But on the same board performance, again we're coming in at 4.4% which again is outstripping ad spend and GDP and the like, implying that there is some pricing power there. We haven't seen the exact same robust performance on our bulletin product, but I get a sense that we're closing in on some pricing power there.
Jason Bazinet: Is there a difference between bulletin and poster on the national-local split? Or is it-- ?
Sean Reilly: No, it tends to be roughly the same. Yes. National and locals, yes, maybe a little more national on the bulletin side.
Operator: Thank you. Our next question will come from Alexia Quadrani with JPMorgan.
Unidentified Analyst: This is [inaudible] on for Alexia. I have a couple of questions. First of all, are you seeing the local markets in Texas, Louisiana and other oil dependent areas being impacted by the ties in oil prices and do you see that being a headwind going forward? Also with the acceleration of the digital steam board revenues this quarter, are you seeing a pickup in demand in these digital boards and on a related note, is the Posterscope partnership helping to bring incremental revenues to the digital board? Can you talk about any early thoughts about that collaboration?
Sean Reilly: Sure. We haven't thrown the switch yet -- on the last question first -- we haven't thrown the switch yet on our test with Posterscope on automated buying. We're hopeful to go live within the next couple months because we budget our digital CapEx and our digital growth ground up, we wait for our local markets to request units before we cut the check and build them. It gives us a good handle on where demand is. If a local market says they can't sell it, then they don't ask for it. By virtue of the fact that they're asking for it, they believe they can sell it, it gives us a good sense that demand is out there. So what was the first question again? There were three of them there. Texas, Louisiana. We're not seeing it yet. But like most of what you read and hear about in terms of oil and gas prices dropping in the aggregate, we view it as good for our overall platform. There may be parts of the country where the local economy struggles a little bit and it would be reflective in our book. But in the aggregate, we believe it's by and large good for our customers, particularly our restaurant customers and that they're going to show up even better in our book. Just for purposes of how -- a historical look, most of that activity is what we call our southwest region and the southwest region was up 5.5% on the top last year for all of last year. So it certainly hadn't shown up yet. It wouldn't surprise me if it showed up a little bit in a place like Midland Texas or Oklahoma City. But again in the aggregate, we view it as a good thing for the overall book and for overall ad spend in the United States.
Operator: Thank you. Our next question will come from James Dix with Wedbush Securities.
James Dix: Two questions. Just in terms of what you're seeing early in the year like the first quarter. Is your growth outlook in line with what you're expecting for the year? Is there any particular variance we should be expecting? And I don't know, Keith, whether you have the pro forma first quarter 2014 revenue base just for our modeling purposes. And then secondly, Sean, you called out a couple of categories just looking forward towards 2015. Are there any other particular outliers either to the positive or negative side that you're looking for as you go into the year? Thanks.
Sean Reilly: I will hit the second one first. Looking at our verticals, you see a great deal of stability in the top three, four, five, right? Restaurants are going to be just fine and they're going to hum along like they always do. Retail the same. We're seeing a little more activity out of hospitals and health care. Last year up 7%. That's a pretty big move for a top 3 vertical. Services broadly defined, that's number four and was up last year 15%. There seems to be a lot of strength in that vertical in our digital book and that probably explains that and we expect that to continue. The rest of them in the Top 10, they're not shifting more than mid-single, low single digits. On the pleasant surprise front, insurance cracked into the top 10. And as I mentioned in the fourth quarter was up 22%, for the year was up 18%. Real estate continues to normalize is how I would categorize real estate. As real estate recovers, they're recovering in our book and approaching that normal -- hopefully getting to 4% to 5% of our book. They're still hanging around 3% and moving in the right direction. So really the only thing I would point to on the down side would be the telecom and as I mentioned, we're lapping that. In terms of a tough vertical comp should be in good shape this year on that.
Keith Istre: James, to go to your question about the pro forma, you're talking about the daily obviously. I tell you what. Go back -- I could always forward it to you if you don't have access to it, but it should be on our website. Our press release from last year's 2014 Q1 earnings call and that has the actual as reported daily revenue for Q1, consolidated. And we didn't have that much in acquisition pro forma revenue in Q1 that we had to add. I think you could probably add $1 million to $1.5 million to the first quarter actual daily number last year. And that would give you a good approximation of our daily pro forma revenue for the quarter.
Sean Reilly: Hitting your question of is 2015 going to be a lumpy year in terms of what we're seeing so far in our book--
James Dix: Yes, the quarters, right.
Sean Reilly: Yes, so that’s the only thing I can point to of course is the curse of a great quarter, right? We're going to be cycling around to a tough comp for the fourth quarter of 2015 versus what happened in 2014. We've got some work to do and we've got to stay tuned. Where I sit right now today, I would call that a high grade problem.
James Dix: Really in the first quarter, it looks more steady.
Sean Reilly: Yes. I would say we like the momentum that carried over from the fourth. It's steady. It's certainly steady through the first half and we feel good about how the year is shaping up.
Operator: Thank you. Our next question will come from Tracy Young with Evercore ISI.
Tracy Young: Two questions if I could. Just a general question on digital. As you're building out, are you building out or should we be thinking about you building out posters versus billboards? And then also at the beginning of the year, you entered the all equity REIT index. Are there any other indexes we should expect you to join? Thanks.
Sean Reilly: The skew on digital off late is skewing more towards the larger format and away from the smaller format. So for example, in the early days when we were building out, it was roughly 50-50 in terms of numbers of units in the air. Last year we built 123 bulletins and 61 posters. And again, since this is a demand driven exercise, that probably tells you that our local general managers believe that they're having more success selling the larger format. The index thing is problematic in the near term, we got into one. We're going to have to knock on the door, I believe, consistently and aggressively for the next one. And as I mentioned, that's our goal for this year is to really impress upon the REIT investing public that we're a real estate asset class that deserves the kind of respect they give other real estate asset classes.
Operator: Thank you. Our next question will come from Eric Handler with MKM Partners.
Eric Handler: With regards to your local business, you said local was up 6.2% in the fourth quarter. Was that all organic? And then when you look at your guidance, your implied guidance for 2015, was there something in the fourth quarter that is unusual that strengthened that number so much because the guidance essentially assumes a local lower growth? And as a follow-up, I apologize if I missed it but did you give the occupancy statistics? The occupancy and revenue statistics?
Sean Reilly: Yes. So on the first question, Yes, that's essentially organic growth. On rate and occupancy, we traditionally gave that out in arrears on a monthly basis. It loses a little bit of its relevancy and its accuracy as we've moved monthly from daily billing. What our practice is going forward is to report when it's meaningful and relevant and accurate, same board performance across products rather than rate and occupancy because again, on the move from monthly to daily it's lost a little bit of its accuracy and lost a little bit of its relevance.
Eric Handler: Okay. But then going back to the local question, was there something unusual in the fourth quarter that you saw that's not sustainable going into 2015 because your guidance would imply a deceleration from the fourth quarter?
Sean Reilly: Yes. Our pacings aren't quite where they were that the fourth would imply, but pretty close. A couple of things probably are playing into that. 2013 fourth quarter was pretty weak for us, so you had an easier comp. I think you have a more sustainable relevant comp in the first that's a little bit higher. So in absolute numbers, the books are strong in terms of relative pro forma growth. It appears slightly lower.
Operator: Thank you. Our last question will come from David Miller with Topeka Capital Markets.
David Miller: Sean, just a couple of questions if I may. As you assess the M&A environment and obviously you have dry powder to go out and make acquisitions, what kinds of firms are you favoring? Is it more regional? Are there certain regions of the country where you feel like you have to plug holes? And I would assume that within that, you would favor companies that really don't have that much exposure to national? And then I have a follow-up. Thanks a lot.
Sean Reilly: Sure. Our bias isn't regional or size or quite frankly revenue mix national-local. What we're focused on is high-quality, REIT-qualified out of home assets.
David Miller: Right.
Sean Reilly: So that narrows the universe a little bit because there's lots of forms of out of home. They have varying degrees of quality in terms of where they are and what they're made of. And then there is some that just quite frankly aren't REIT qualified. So I wouldn't narrow it to a region. I wouldn't even narrow it to a large market or small market. I would qualify it that way. High quality, REIT qualified, domestic.
David Miller: As you know, here in Los Angeles, Clear Channel Outdoor is facing a situation where some 70 digital boards have been turned off. They've been off for about a year. They're fighting with the Los Angeles City Council which doesn't seem to be moving very quickly on the matter. I just want to make sure you guys aren't facing any similar predicament in other municipalities? I just want to make sure other towns and cities aren't using the situation here as a template to litigate against you in the future. I just wonder if you would comment. Thank as lot.
Sean Reilly: Sure. You can Google Lamar digital regulations and any number of skirmishes across the country might pop up and give you pause. For the most part, number one, the stakes aren't nearly as high in a place like Rapid City where we might be negotiating with the city fathers over three or four units and maybe somebody's threatening litigation one way or the other. So that's point number one. We don't have a market where we have that number of units and that degree of billing at stake. And number two, for the most part these things work themselves out. And over time we tend to reach a place where the community and Lamar is happy. Keeping in mind in most places where we operate, we're the sole provider. So we kind of have to get along with the community. And we work at great lengths to make sure that mayors and city council people in places like Little Rock and Tallahassee and Rapid City know who our local management is, know who we're and what we stand for. And the fact that at the end of the day we're going to work with them and everybody is going to be at a place where they're happy. Specifically in LA, just so you know what's at stake for us, Lamar, we have an HG [ph] plant there which we essentially bought to hold on to for the moment in time when a settlement is reached. A likely settlement will involve taking down square footage and putting up more profitable digital units. And we have a proposal in front of the mayor and the council in Los Angeles to take down over 4000 [inaudible] literally take down 4,000 billboards and erect about 100 large format digitals. The Mayor and City Council find that very attractive, but we're caught up in the larger debate between clear and to some degree out front in terms of what to do with the existing digitals that they already have. We're a player in that. We're looking forward to its resolution and we think at the end of the day it's going to be one that's good for Lamar.
Operator: Thank you. Mr. Reilly, it looks like we have no further questions at this time.
Sean Reilly: Great. Look, thank you all for being on the call. And we look forward to visiting with you all next quarter.